Operator: Good day and welcome to the Hochschild Mining Webcast and Conference Call. At this time, I would like to turn the conference over to Ignacio Bustamante, CEO. Please go ahead, sir.
Ignacio Bustamante: Thank you very much, Simon. Good afternoon, everyone, and thank you for joining us for our 2020 full-year results. I am Ignacio Bustamante, CEO, and with me is Ramón Barúa, our CFO and we also have, Charles Gordon, our Head of Investor Relation. So we move to Page 3 of the presentation titled key highlights please. We talk here about the key highlights of the release that we put together today. We ended up the year with very strong financials despite the severe impact of the COVID-19 in terms of the stoppages, among other things. But however, we have continued prioritizing employee health about business continuity.
Ramón Barúa: Thank you, Ignacio. Hello to everyone in the call, and thank you for joining.
Ignacio Bustamante: Thank you very much, Ramón. So, if we go straight to Slide 14 of the presentation titled Operational Update. So all our mines are currently operating normally, we have shown a very strong recovery despite all the COVID related stoppages. The 2020 revised production and cost targets were achieved, actually indications of course even a significantly better as Ramón just explained, and we're maintaining our guidance for 2021, which is a production of between 31 million ounces to 32 million ounces of in silver gold ounces or we do 36,000 and 37,200 ounces in the case of gold equivalent. Our all-in sustaining cash costs are guided at between $14.1 million and $14.5 million in the case of silver and between $12.10 and $1,250 per ounce of gold. Here also I'd like to mention that we have done some minor hedges with a goal of securing the production at Pallancata for 2021 and 2022. Let me let me stop here for one minute. In the case of Pallancata as you may recall Pallancata is an operation that is showing a lot of long-term potential for resources in the Corina, in Palca, Cochaloma areas. However the short-term is facing challenges, we have a drilling campaign in place to come up with short-term resources but it also results and we'll discuss those later on. Those results are still not there. So we saw this opportunity to create 4 million ounces in 2021 and 2022, 4 million each year at an average of $27 per ounce, and that is going to allow us to produce profitably at Pallancata in 2021 and 2022 with the goal of giving an additional a year of time to our Brownfield team to come up with additional resources in their actual operations area that could catch up by - to the time in which the potential new resources in Corina, Palca, Cochaloma make come to our production profile. So it's a move that has been done to protect the customers and ensure protection for Pallancata in 2021 and in 2022. Other than that, we continue to be very bullish for both gold and silver but we thought this was a good opportunity to generate that optionality in Pallancata as well. In the case of CapEx, we continue guiding between $120 million $130 million. The Brownfield exploration is guided at $34 million for the full 2021, and the Greenfield exploration budget is similar to last year at $11 million. We also have a budget for BioLantanidos of $14 million with the goal of completing the feasibility study and doing some additional geological work during 2021. And finally we have just approved $7 million investment in an all-sorting pilot plant in Inmaculada, I'll talk a little bit about that further during the presentation. If we move to the next slide, Slide 15 you can see here the evolution of our resources in 2020 versus 2019. They start in Inmaculada, Inmaculada we added until the drilling campaign of 2020 18.9 million so let's say 19 million additional ounces of resources. However, as we said, we didn't have enough time to complete the campaign in the year because of the COVID related stoppages. So in the first few weeks of the year, we have enabled to add an additional 8.1 million ounces in January, which were part of the initial profit drilling campaign - for 2020. So in total let's say for the 2020 drilling campaign, we have added about 27 million ounces in Inmaculada. In the case of San Jose, we have added 8.4 million, but also, we have had some benefits a by additional drilling that are represented there as a cat of geology. So we have been able to maintain the same levels of resources and because of Pallancata, we have not had success so far. So we have got no resources additions. But still many targets remaining places we'll see later on. Moving to the next slide, Slide 16 on reserves, you can see also started with Inmaculada in the upper left. In Inmaculada, we have been able to add 25.3 million ounces in reserves, plus an additional 1.5 million as cat of geology, and also unaudited, but we have already added an additional 2.4 million ounces in the first couple of weeks of January as well. So we're making good progress into increasing our reserve life of mining Inmaculada. And we continue doing so during 2021. In the case of San Jose, we converted it between addition cat of geology about 8.4 million additional reserves which is below what was produced, but also with many additional targets that we can continue pushing for additional reserve growth into 2021. And in Pallancata basically we did not too many reserves either for the reasons that I just talked and we will talk later on about the different possibilities that we are evaluating in Pallancata. Going to Slide 17 growth strategy, we have changed the format but the concept remains the same. So we have four pillars for our growth strategy. We have Brownfield, Greenfield, early-stage projects and strategic alliances. Brownfield continue to be our top priority I will keep either and we believe we can generate the most value. We are targeting to continue increasing our life of mine to continue improving the quality of the resources and ideally using the per capacity that we have available. In the case of Greenfield we continue working hard to streamline our portfolio taking properties that are attractive and to progress in all the projects that are drill ready with the goal of between four and six projects per year in two to three different countries. The third pillar is early-stage projects and then we are going to continue demising our early-stage projects such as Crespo. Azuca, Selene, and Volcan in Chile. We are working both on the technical side and on the exploration front. So we're going to continue pushing both fronts to try to put this early-stage projects into value and also advancing Biolantanidos deposit that we will give us status update later on during the presentation as well. And finally strategic alliances that could be acquisition or could be joint ventures as long as they meet our criteria that whatever we acquire needs to be early-stage significant geological potential, highly value, credit to our shareholders and we need to acquire control. Move to the next slide getting into the Brownfield Slide number 18. So you can see here the map of the properties operations and projects that we have in Peru. We have on the West side everything related to Inmaculada, Pallancata, Corina, Selene et cetera. And on the right, we have Azuca, Crespo, Arcata, Ares and Condor. So for 2021, we have another very aggressive drilling program $34 million in Brownfield and we're going to continue looking for additional resources in Inmaculada, in Pallancata and Pallancata comprises Cochaloma, Palca, Corina in addition to Pallancata of course. On the East side, we're going to continue doing geological work in Crespo, in Arcata, that as you know has shown some promising intercepts in the third and fourth quarters of the map. We are going to continue doing a geological work in Ares and we're going to continue doing geological work in Condor as well. I know usually in Argentina, that is not part of this map I'll also continue showing very attractive targets. Moving to the next slide, Slide 19 Inmaculada as you know is a very young district - vein district with potential to incorporate further new resources. Last year, we have been restricted to a certain area the only area left that we had permitted and regardless, we have managed to find an additional 27 million ounces of resources there that really has focused on Shakira, Juliana, Angela North and some other minor veins are on the main Angela vein. For 2021, we have our program of 35,000 meters that is going to focus on Angela North to continue the work that we started in 2020. And also in Lineamientos which appears in the map in the in the North Central North of the map highlighted and also Minascucho which is on the Central West. So we are also highly encouraged with the potential of those areas and we're going to start drilling them as long as - soon as we have the permits. Angela North is already fully permitted so we are we're right now doing all the drilling work and with the Lineamientos and Minascucho are going to get permitted in the upcoming months with all of drilling both areas before the end of the year. Moving to do the next slide, Slide 20 as I mentioned have just approved budget for this ore sorting pilot plant in Inmaculada, the total budget approved this $7 million. The project is set to complete towards the end of 2021. We are very enthusiastic about the potential of this plant. The goal is to improve recoveries, to help us increase the size of the capacity of the Inmaculada plant, and also to improve the economics of our near-term projects. It should also allow us for more mechanization should allow us to focus on areas that may not be profitable now, but after the ore sorting may be profitable, and also evaluate other potential projects that could benefit from this technology. In the initial stage, we're seeing some very encouraging results, we're seeing that - in the areas that are that go through this sorting plant, the volume could get reduced by 26% cost could go up by about 17%. And that's also in the initial screening stages, when we believe there's significant upside to continue improving the screening technology and get even better results. So we're highly enthusiastic about this ore sorting plant. It's called a pilot plant that - now the size is not that small, no it has a capacity of about 1,080 tonnes per day which is about roughly 30% of the capacity of - in Inmaculada plant also it's a good-sized plant. And of course, we'll get the resource that we're expecting it has the potential to increase materially. Moving to the next slide Pallancata exploration as you know Pallancata has - with the shortest life of mine. And we have the strategy of adding economic ounces close to current operations in addition to working at the long-term  without economic value, nothing really that could be a game changer yet. However, good targets remain for 2021 and you have them in the map numbers you have in the Central West, Pablo South which is underway. You have a little bit to the North of that a number 2 Pablo Piso to the West of that we have Pablo extension. In the center of the map we have Pallancata Central, which we're going to be focusing on the Pablo, Julia and research structures. And also, we have Cayetano to the Central East of the map. So we're going to continue pushing those targets 2021 is going to be a very important year to continue trying to materialize new short-term resources for Pallancata. And at the same time in parallel we continue working to add long-term resources from other the more regional projects that would be processed or could be processing the Cayetano plant that are Corina, Cochaloma and Palca. Moving to the next slide, Slide 22 in Palca with - the drilling has started as you know and we have found resources at Escondida vein. So the drilling will continue to adding for resources there. And you see that it's in the chart on the right it's in the bottom right corner you can see there Escondida a target. And in addition to that, we're going to drill all the potential new structures more in the center in colors green and red in the center of the chart on the right, that are called Santa Beatriz, Roxanna and Santa Marta veins also those are going to be Escondida and these three targets are going to be the key objectives for 2021. In Cochaloma, we have already started drilling a target in the Esperanza vein the Esperanza vein and Cochaloma and we are expecting to finish the program by April of 2021. So also those two targets continue very, very encouraging. However, the most encouraging one is a Corina so far, which is in Page 23. You can see there in Corina it's also a low sulphidation epithermal a gold/silver deposit its very close to the Selene plant, which is a plant that processes the Pallancata material. Between 2019 and 2020, we have obtained very attractive drillings you can see there in the table. And our resource team has already prepared a maiden resource that is giving us in this initial drilling campaign a total of about 9 million ounces with about 330 silver equivalent grams and very, very thickest structure of 12.4 meters. So we're highly encouraged with these results. As you can see in the chart below - the area that we had released, the area that appears in the center east which is in green and that area is just a tiny part of the entire Corina structure, you can see there how we have Corina West and Corina East in both sides of that area that we are going to continue drilling and also, we are going to be focusing on Corina East, Calvario East and Karin areas that are right underneath that Corina central area that just read. So, also, we have high expectations with Corina, hopefully we can continue increasing the resource getting into 2021. Moving to the next slide, Slide 24 with San Jose. In San Jose we are also actually drilling. We drilled the San Jose vein extensions in the operational area and we also drilled Saavedra West, Telken, and Rosalia. The key results came from the San Jose veins and Saavedra West. We actually found a very interesting structured well there that is called Betania that gave us a width of about 10 meters with 7.5 grams of gold and 40 grams of silver. So, looking very encouraging, and we need to understand that system better but is giving us good indication for potential mineralization in that area Saavedra which is to the southeast of the San Jose. The focus for 2021 is going to continue being in the operational area with high grade areas close to the current mine such as Isabel and Luisa veins, Saavedra East that I just mentioned in the Betania vein. Also Titan target and a target that was identified via Titan technology to the south west of San Jose and we are going to continue exploring Telken area which is the potential continuation of the Cerro Negro veins into our deposit Telken, as well as Aguas Vivas area to the Northwest of the deposit. Moving to the next slide, Slide 25. In addition to this potential Brownfield that we have in all our operations, we also have other attractive opportunities that we are planning on targeting to deliver in value as well into 2021. In the case of Peru, we have Arcata that is looking also very encouraging. We have obtained two positive results in two new structures in quarters three and four, so we are treating as much as we can in that area. Unfortunately they are very long drilled holes somewhere about between 700 to 800 meters, so it takes some time, but we are excited with the resource that we have seen so far. Same with Crespo, Crespo still has many geological opportunities that we're going to be pursuing in 2021. Same with Ares, Corina that I just mentioned now. Azuca Huacullo, Azuca we have many ounces, but they are still not to the point that they could be profitable although looking much better at current silver prices. But what we are trying to do is, we are trying to see if we can materially improve the grades of the deposit and put it into value. So, we have our target right next to us, Azuca Huacullo that we are about to drill once the rainy season is over in around the month of April. And also, we have many targets in the selling area, but look more to be targets for 2022 based on the permitting situation. We are also pursuing Greenfield opportunity in Peru with Condor, Pampamali, Ballanero and Corvinon in 2021. In Chile, we have our Volcan project, 9 million ounces of gold in the Maricunga area that we also continue progressing it and understanding it more from a technological and geological standpoints. In the case of Canada, we have this option to acquire 60% of this is SNIP project part of the Skeena Resources. The company announced some maiden research in July that indicates roughly 650,000 ounces with average grade of 13 to 14 grams of gold. So it's looking very encouraging. The company completed our 2020 drilling campaign with 16 drill holes and we're waiting for the results to see if they can have a positive impact in the resource as well. In the U.S., we also have greenfield projects such as Illipah and Adamera that we're going to be drilling in 2021. And in Mexico we have another one that is called Sarape. So plenty of opportunities in addition to our Brownfield potential that we want to pursue in 2021 as well. Moving to the next slide, we talk about Biolantanidos and I would like to call Ramón to comment on the next couple of slides before I do I close with the conclusions. Thank you, Ramón.
Ramón Barúa: Thank you, Ignacio. So Biolantanidos just as a reminder we are super excited about this deposit is, is quite unique. When you think about the competitive advantage that the Chinese have in the rare earth market is not necessarily because they have you know lower labor or lower energy costs or anything like that. The source of the advantage comes from having the right type of deposit and what they have is this iron absorption plate, which is exactly what we have found in the south of Chile. So this is again a very unique deposit and the main characteristics are that it contains the much-coveted heavy rare earths specially Dysprosium and Terbium which make a round of 65% of the value of the basket that we will be selling the  the order elements that have to be permanent magnetic properties account for another roughly 20% the value of the basket. So 85% of the basket value is made out of these four very coveted elements because they have a direct application in the motors of the electric vehicles, in drones, in the mortars of the early turbines et cetera et cetera. The other super interesting feature is that the contents of radioactivity in these deposits are absolutely negligible. So when you compare them to other deposits in the world that have to deal with such constraint it makes it very special. And finally the cost of extraction due to the simplicity of the metallurgy and the simplicity of mining make it a very cost-efficient source of rare earth. So when you combine all these three elements, the conduct the value of the basket and the contents of heavy rare earth, the cleanliness of the mineral and the cost effectiveness of production, Yoland Daniels is in a prime position in the world to become a major source of these rare elements. The CapEx is also going to start being very, very low because this is a deposit that will be developed in modules. Again the deposits are relatively shallow there are not too deep. So you require a lot of surface. These are possibly seeping in areas in Chile more typically at the surface. It has been used for forestry purposes. So from an environmental standpoint they have been already affected. So the - I would say the - so the - again the environmental impact overall is very, very limited. There is no use of any hazardous material in - or chemicals in the process again make it - making the overall metallurgy of this deposit super simple and friendly. And again this deposit is sitting in Chile which is our world-class - you know renowned - a mining investment jurisdiction. And so we expect to develop a - this deposit as quickly and as efficiently as possible. We have put together a management team in Chile already. They are developing the asset based on the full-time work. We're not using employees of Hochschild to move the point forward and that makes it also very special. In 2021 we expect to finish the metallurgical optimization - although again the technology does exist in China, they do not share it with the rest of the world, but we are trying to fully develop our own metallurgical flow. We're doing that with the help of the a very renowned experts in Canada, in Australia, in Peru and in Chile. Environmental permitting also continues to move along our expectation is to receive the environmental impact study at the end of 2021. We are doing a - equipment testing and we are using different sources a - or different companies as suppliers right now and we're trying a - all of their equipment. The equipment is not too complicated. This essentially tanks, agitators and simple things of that like. And we're working also in Brownfield. We have made a lot of progress in adding new resources to the ones that we purchased in - at the end of 2019. That's good news and also and another difficulty because we are finding that clays that were originally thought to be waste. They do contain significant amounts especially of the heavy rare earths, but they have a slightly different metallurgical behavior. So we're trying to pass all those tests completed in order to see the feasibility study that should be ready towards the end of H1, 2021. We had a more aggressive deadline for that feasibility at the outset, but we moved it a few months basically because this discovery of new clays and also although in the first wave of COVID we had no employees affected in the second wave we've had several of our key personnel and their families affected by COVID. So we are experiencing some minor delays. Our San Jose is leading its work and we hope to share with you both results as quickly as we have them. In the following slide I am not going to go through - all the detail on the slide. But this is data that was compiled from FactSet in order to make it you know standard for all the companies in evaluation. And as you can see Hochschild is trading at a significant discount to its peers, all the - primarily silver producers, not only in the U.K., but also in North America. With that Ignacio, I will turn the presentation back to you.
Ignacio Bustamante: Thank you, Ramón. So if we go to the last slide of the presentation, page number 28. And as a conclusion, so we finished the year with a very strong performance despite the material COVID stoppages. We achieved all our revised production and cost targets even better in the in the cost front than what was guided. Significant free cash flow generation and we ended up with a net cash position the first time in eight years. We declared - we paid $21 million interim dividend in December and we have just announced a further $12 million final dividend. We have a very important a significant 2021 Brownfield program scheduled for the year with $34 million in budget. As Ramón just mentioned, we have a very exciting Biolantanidos rare earth project that is close to feasibility stage. We continue having a very attractive optionality in Greenfield in early-stage projects and in our M&A strategy and obviously the opportunity to generate substantial shareholder return. So with this, we finish the presentation and let me open it up to any questions that you may have.
Operator:  We'll now move to our first question over the phone which comes from Ian Russell from Barclays. Please go ahead. Your line is open.
Ian Russell: I had a few questions maybe just the thoughts on the exploration program. Do you mind just sort of giving a bit more details on the program in 2020, I mean you had pretty strong confidence that you could complete that in 2020 and so maybe just give an idea of what went wrong? And I guess just what the risks are for this year and your program. And maybe just to check that the exploration I guess carryover into 2021 from 2020. Is that all included in the $34 million guidance for Brownfield exploration? Sorry, I'll take one by one if you want to comment on that.
Ignacio Bustamante: Thank you very much. The short answer is yes. The initial value of $34 million that we have included at the remaining part of the plan for 2020 - for 2020. Having said that obviously if we have success that budget could increase. But I will say no that that the money very well spent because this is to build on something that is looking good. So we believe it went wrong I would say is in general we underestimated the potential delays that we're going to be having in COVID not only on our results but also in our people on the, on a contracted machinery and certain contracted works. So that created some additional delays that were not, that were not expected that even though the COVID situation was under control on our front, it wasn't necessarily the same situation in the - in our environment. So with that we were only able to complete 75% of the plan. And the idea will be to note what full speed with a plan in 2021 that we have budgeted. Again the results are with us. We will continue with spending even more money. And so far, fortunately things are going all as planned and we see a no potential impact in the short term of additional COVID stoppage by so far. The protocols that we have in place are working very well. And we have confidence that we are well prepared in case the situation gets even a little bit in more complicated in the country.
Ian Russell: And the sort of permitting you and mentioning at Inmaculada, there is a couple of permits that you expect in the next couple of months if that's delayed with that sort of impacts explorations plans for this year?
Ignacio Bustamante: I would say.
Ian Russell: Any other permitting?
Ignacio Bustamante: They would certainly have impacted their plans. But I would say there is still a lot we can do a while we wait for those permits. So they - I would say that the biggest success that we had in Inmaculada in 2020 was a discovery of this area that we call Angela North that could be a potential continuation of the of the Angela vein. So, that's something that was found that again that's already within the permitted areas and we are already drilling that areas we speak. So, we are going to go at full speed with all the permits in place between now and April or May of this year to come up with additional in-service resource in that area. And in addition to that, we are going to be doing some infill drilling also in those areas to try to convert more research, so that can go ahead even without additional permits. The permits that we are speaking are the permits from Minascucho and Huarmapata. The Minascucho and Huarmapata we are giving a little bit of a levy, but we expect that they could be obtained somewhere between May and August of this year. So - and things are moving along well I would say so. So, we have confidence that we are going to be able to achieve those permits and complete all the plan that we have scheduled for Inmaculada for this year. In addition to that - in addition to those two permits, we are only waiting for the two final permits in Inmaculada that one should come, I will say probably closer to November of this year and another one for early 2022 that will give us pretty much the capacity to drill everywhere in Inmaculada. They are going like 150 platforms come into stream after a - those two last permits get approved so with that we should be in a great position to drill as much as we can in Inmaculada for the upcoming years.
Ian Russell: Yes, thanks. And then just related to the reserve updates. You were mentioning last year the possibility to increase your pricing assumptions within the reserve resource to I guess help Pallancata maybe extend the life by a year. But it seems like you've done that at Inmaculada as well. So you've seen I guess across all operations pretty sizable grade reductions. Is the intention to, I guess mine at those new reserve grades going forward at all the operation?
Ignacio Bustamante: Yes, that's the intention Ian. We always try to do as much as close as possible to mind the reserve grade so that's the goal. Obviously if price has changed that's going to have to change, but they used to maximize the life of mine by mining their reserve grade. Having said that we continue looking at other opportunities that have the potential of containing higher grades and if they get materialized the average grade should go up, but our goal is to always mine at average reserve grade.
Ian Russell: Okay. And - I mean in terms of the pricing now are you happy with those levels or did the potential for those prices within the - reserve resource models to increase further such as. We saw this obviously at the previous cycle where companies were continuingly increasing their reserve and resource grades and ultimately the cost base followed the gold price, silver price up? So I'm just trying to get a sense of whether there's more just to help give time at Pallancata to extend their life by a year until you find more resources or is there something, you're looking to do every year?
Ignacio Bustamante: Yes, we - every year - we develop our price assumptions - this year we have a big increase - following the big increase that we see in gold and silver prices. We're using $18 for gold and $24 silver - right now I'll say gold seems to be fairly priced, silver seems to be a little bit low and - now that you mentioned by Pallancata, as you can in the resource base we still have - about 50 million ounces of resources in Pallancata that we have not managed to make them profitable yet. So, we have the team completely focused and trying to see - if there are more ounces that could be turned into reserves and be profitable at - with the current price situation. Also we have also an ongoing work on that front to see - if we can continue extending even more the life of mine on Pallancata. Right now we see production - profitable production even more now with the hedge that we have made for 2021 and 2022 and ideally, we'd like to try to ensure at least a couple more years so that we have enough time for our long-term projects to catch up.
Ian Russell: And maybe just one final question just on the exceptional cost you guided Ramón of about $10 million to $15 million for this year - just wanted to check within the AISC guidance - you've assumed there's no other fixed costs that will be excluded from those costs - as you've done in 2020 - is that correct?
Ramón Barúa: That is correct, Ian.
Ian Russell: Okay. Thanks. Okay, I've got a few more - but I'll go back in the queue. Thanks.
Ignacio Bustamante: Okay, thank you Ian.
Operator: Just to confirm and Mr. Bustamante there are no further questions queued over the phone at this time - and apologies - we will now move back to Ian Russell from Barclays. Please go ahead with your follow-ups.
Ian Russell: And just on the rehabilitation - I guess cash flows - are more and over $14 million. And could you maybe just give an idea of what you expect for the coming couple of years and you talk about sort of obviously spending on mine closures? Are there any I mean which mines, are you referring to was that - is that for quite far out in the future?
Ramón Barúa: Sure, hi, and no this - the recent increase in the mining provision that we had in 2020 there are $13 million that have to do directly with the Ares mine. The Ares mine - is a mine that started its operation long time ago. So, the standards for mine closure - the standards for mine closure, the standards with which Ares was built you know several decades ago was not as high as the standards that we require right now. So we put an effort to fully review those mine closure, a situation in all of our mines in 2020. And we decided that we needed to pour more or to invest more in Ares to have a better rehabilitation. The rest of - for the rest of our mines, sorry and given that Ares was already closed that amount needed to go directly through the P&L and not to the balance sheet. Although all the rest of the - all the other provisions that we have are already in our provision in the balance sheet. I think the number is close to $135 million. Now, what we tried to do is we tried to bring forward as many of that work as we can possibly. First, because we can take advantage of - the tax shield of those expenditures throughout the years. And we also benefit of having full teams in the operations while we close this and we'll have to maintain people in those operations exclusively just to close the activities. So as much as we can bring forward, we try to do it. The amounts are around probably in the range of $10 million to $12 million per year. We have been incurring that for the past several years already and it's a good policy for us. This year its higher it's double that amount because of the Ares explanation that I just mentioned.
Ian Russell: Okay. So you said 2021 will be double so more or like 2020 to 2024 ?
Ramón Barúa: No, no what I said is, 2020 is double.
Ian Russell: Okay.
Ramón Barúa: And the number that we are looking in our P&L is around $25 million because that incurs that the typical $10 million to $12 million that we spend every year plus the $13 million of Ares. But Ares should not be - should not recur next year. So what you should expect is the $10 million to $12 million per year.
Ian Russell: Okay, so that's on the P&L, but what about the $14 million in the cash flow balance waterfall, how much do you expect to spend on that this year?
Ramón Barúa: Yes, again that number, that $14 million is mostly is $10 million to $12 million ongoing activities in all of our operations plus we have started to do the work in Ares as well. In Ares, we need to spend around $13 million and that will come through the years, but it has to go, while that increase in provision has to go all in not as cash flow but all in ones - all at once through the P&L. The rest - of the cash flow expenditure should go against the provisions that we have in the balance sheet.
Ian Russell: Okay, okay now that's clear. Thank you. And then just on the working capital release, you mentioned you were depleting or consuming some of the old stock piles at Inmaculada. Is there expectation that you will build a better of inventory or working capital this year to normal levels?
Ramón Barúa: That's the idea. No, the idea is to build a little bit of more stockpiles. But as you can imagine, now the situation with COVID continues to be relatively tight. So, this is - it's going to be a challenge. I wouldn't count on that. But the expectation is yes to continue to build our stockpile as protection for eventual stoppages like we had last year.
Ian Russell: Okay. And just around sort of payables/receivables if there is no mixed swings you expect for this year?
Ramón Barúa: No, no, payables, no receivables.
Ian Russell: Yes, and then just lastly on your hedges. Are these corporate hedges or do you - were they taken out at Pallancata at the sort of operating level? I'm just trying to get a sense where we should expect these in the P&L?
Ramón Barúa: Sure, corporate.
Ian Russell: Okay.
Ramón Barúa: Corporate meaning….
Ian Russell: Okay. So, that will sort of - of other income?
Ramón Barúa: Our subsidiary in Peru that has in Inmaculada, yes.
Ian Russell: Okay, okay. But these will just come through other income I would imagine there is sort of realization of hedges et cetera?
Ramón Barúa: Yes, because they are directly associated to production. So, they have to come yes at that level. It's correct.
Ian Russell: I think that is all my questions. Thank you.
Ramón Barúa: No problem.
Ignacio Bustamante: Thank you, Ian.
Operator: We'll now move to our next question over the phone which comes from , a private investor. Please go ahead. Your line is now open.
Unidentified Analyst: Thank you and good afternoon Ignacio. It's just a quick one on the BioLantanidos project. I saw an article with Rodrigo Ceballos, the Chief Executive of the project. And he was just saying production could be at the end of 2022, early 2023 is that - kind of what you are looking at?
Ignacio Bustamante: Sure, I won't fumble - that yes.
Ramón Barúa: I think it will be more accurately to say.
Unidentified Analyst: Sorry.
Ramón Barúa: Sorry, this is Ramón. It will Camilla, I think it will be more accurately.
Unidentified Analyst: Oh sorry Ramón. Please.
Ramón Barúa: Beginning of 2023 is the best assumption.
Unidentified Analyst: It's kind of where you're looking. Yes?
Ramón Barúa: Yes.
Unidentified Analyst: Okay, and wow that's very impressive. Thank you very much. Thank you.
Ramón Barúa: Thank you.
Operator: As there are no further questions queued over the phone at this time. And gentlemen I would like to turn the call back over to our speakers for any additional closing remarks.
Ignacio Bustamante: Thank you very much. And thank you very much everybody for participating in this call. Should you have additional comments or questions, please feel free to contact Charlie Gordon directly at our London office. Thank you very much again and have a great day. Bye.
Operator: Ladies and gentlemen, this does conclude today's call. Thank you very much for your participation. You may now disconnect.